Operator: Greetings, and welcome to the Fidelity National Financial fourth quarter and full year 2024 earnings call. At this time, all participants are in a listen-only mode. If anyone would require operator assistance, please press star zero on your telephone keypad. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It's my pleasure to turn the call over to your host, Lisa Foxworthy-Parker, Senior Vice President of Investor and External Relations.
Lisa Foxworthy-Parker: Thanks, Operator, and welcome again, everyone, to our call. I'm joined today by Mike Nolan, CEO, and Tony Park, CFO. We look forward to addressing your questions following our prepared remarks.
Operator: F and G's management team, Chris Blunt, CEO, and Wendy Young, CFO, will also be available for Q&A. Today's earnings call may include forward-looking statements and projections, under the Private Securities Litigation Reform Act, which do not guarantee future events or performance. We do not undertake any duty to revise or update such statements to reflect new information, subsequent events, or changes in strategy. Please refer to our most recent quarterly and annual reports and other SEC filings for details on important factors that could cause actual results to differ materially from those expressed or implied. This morning's discussion also includes non-GAAP measures which management believes are relevant in assessing the financial performance of the business. Non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules, within our earnings materials available on the company's investor website. Please note that today's call is being recorded and will be available for webcast replay. And with that, I'll hand the call over to Mike Nolan.
Mike Nolan: Thank you, Lisa, and good morning. The fourth quarter results rounded out an exceptionally strong year for our title and F and G businesses, both in terms of results and execution. Starting with the title segment, we delivered adjusted pre-tax title earnings of $343 million, adjusted pre-tax title margin of 16.6% for the fourth quarter, and adjusted pre-tax title earnings of $1.2 billion and adjusted pre-tax title margin of 15.1% for the full year 2024, while successfully navigating a low transaction environment. These are outstanding results and validation of the operational efficiency that we have achieved over the last decade, as well as the exceptional ability of our team, who I believe is the best in the industry. Great. I would like to say thank you to all of our 23,000 employees for doing what they do best, and that's delivering value to our clients. I'm continually impressed with this seasoned team's performance and ability to deliver industry-leading results year in and year out. I would also like to extend our heartfelt thoughts and sympathy to all of those impacted by the recent wildfires across the greater Los Angeles area. We are grateful to our employees and the brave first responders for their unwavering dedication and resilience demonstrated throughout this natural disaster. Now turning to our results. On the purchase front, daily purchase open orders in the fourth quarter were up 6% over the fourth quarter of 2023 and down 16% from the sequential third quarter. This fourth quarter seasonality was modestly better than the typical 20% sequential decline that we have seen in recent years. On the refinance front, volumes are still a fraction of the levels seen in early 2021, when mortgage rates hit historic lows. That said, borrowers have been responsive as 30-year mortgage rates fluctuated during the course of the year. This generated average refinance orders opened of 1,200 per day in 2024 as compared to 1,000 per day in 2023. We saw refinance orders opened of 1,300 per day in the fourth quarter and 1,100 per day in the month of January, reflecting how refinance volumes can change with modest movement in mortgage rates. Commercial volumes ended the year strong with direct commercial revenue at near record levels for the fourth quarter and month of December. Overall, we generated direct commercial revenue of $1.2 billion full year, which was our third best year on record. Notably, opened orders in the fourth quarter held up better than the prior year quarter, which should provide good momentum going into the first quarter. Looking ahead to 2025, we expect continued strength in the industrial, multifamily, and energy sectors among others, and see the potential for higher commercial volumes as the office sector continues to recover. Looking at fourth quarter volumes more closely, daily purchase orders opened were up 6% over the fourth quarter of 2023, flat for the month of January versus the prior year, and up 26% for the month of January versus December. Our refinance orders open per day were up 46% over the fourth quarter of 2023, up 16% for the month of January versus the prior year, and up 3% for the month of January versus December. Our total commercial orders opened were 754 per day, up 7% over the fourth quarter of 2023, up 3% for the month of January versus the prior year, and up 10% for the month of January versus December. On the whole, total orders opened averaged 4,700 per day in the fourth quarter, with October at 5,200, November at 4,700, and December at 4,200. For the month of January, total orders opened were 5,100 per day, up 21% versus December. Overall, our outstanding performance in the quarter is a result of the pioneering work and investment that we have made over the past decade. We have become more efficient across our operational footprint through our SoftPro integrated operating platform and enhanced our customer experience through proven tools such as our InHare digital transaction platform. Our transformation can be seen in our margins, which have expanded 140 basis points over 2023. During 2023 and 2024, our margins have significantly outperformed prior cycle troughs. Additionally, we have generated a steady level of free cash flow to invest in our business through attractive acquisitions and continued investments in technology while increasing our dividend. As we enter 2025, expect to see normal seasonality, although mortgage rates have persisted around 7% and could remain elevated. As always, we'll manage our business to the trend in open orders and adjust our headcount and footprint accordingly. Over the next few years, we would anticipate a march back to a more normalized environment. To help put this in perspective, the National Association of Realtors or NAR recently reported that home sales in 2024 were at the lowest level since 1995 due to high mortgage rates and a housing shortage. NAR noted that there are 70 million more people in the US population over the last three decades. This supports our view of the pent-up demand and basic need for housing that is expected to unleash growth in existing home sales over time. That is why we remain bullish on the long-term prospects for the title insurance business and continue to invest. I am proud of all that we have done to achieve our industry-leading performance through reducing costs and improving the efficiency of our title search and exam process while preserving the coverage and value of our insurance product. And we are excited about continued opportunities. We continue to improve the efficiency of our operations while exploring further innovation with generative AI tools and maintaining our focus on enhancing the title and settlement processes. We are continually striving to improve our margins like what we have achieved over the past decade. Turning now to our F and G business. F and G has profitably grown assets under management before flow reinsurance to a record $65.3 billion at December 31st. F and G is well positioned and continues to make progress towards investor day targets of asset growth, margin expansion, and enhanced earnings from Flow Reinsurance and owned distribution, which continues to be accretive to F and S growth profile and earnings. In fact, F and G contributed 38% of F and F's consolidated adjusted net earnings for the full year 2024. F and G is a strong growth engine which we expect to continue as they execute against their medium-term financial goals. Additionally, F and G paid $108 million of cash dividends to FNF in 2024. With that, let me now turn the call over to Tony to review FNF's fourth quarter and full year financial performance and provide additional highlights.
Tony Park: Thank you, Mike. Starting with our consolidated results, we generated $3.6 billion in total revenue in the fourth quarter. Excluding net recognized gains and losses, our total revenue was $4 billion as compared with $3.2 billion in the fourth quarter of 2023. We reported fourth quarter net earnings of $450 million including net recognized losses of $373 million versus a net loss of $69 million including $23 million of net recognized gains in the fourth quarter of 2023. The net recognized gains and losses in each period are primarily due to mark-to-market accounting treatment of equity and preferred stock securities, whether the securities were disposed of in the quarter or continue to be held in our investment portfolio. Adjusted net earnings were $366 million or $1.34 per diluted share, compared with $204 million or $0.75 per share for the fourth quarter of 2023. The title segment contributed $263 million, the F and G segment contributed $123 million, and the corporate segment contributed $8 million before eliminating $28 million of dividend income from F and G in the consolidated financial statements. For the full year 2024, we saw strong performance for the title segment despite a difficult environment, as well as record growth for the F and G segment which together generated solid profitability. Total revenue excluding gains and losses was $13.6 billion in the full year 2024, and reflects a 14% increase over the full year 2023. We delivered $1.3 billion in adjusted net earnings, an increase of 31% over $962 million in full year 2023. The title segment contributed $877 million, the F and G segment contributed $475 million, and the corporate segment contributed $21 million before eliminating $108 million of dividend income from F and G in the consolidated financial statement. Turning to fourth quarter financial highlights specific to the title segment. The title segment generated $2.1 billion in total revenue in the fourth quarter, excluding net recognized losses of $57 million compared with $1.7 billion in the fourth quarter of 2023. Direct premiums increased 28% over the prior year. Agency premiums increased 27%, and escrow, title-related, and other fees increased 15%. Personnel costs increased 11%, and other operating expenses increased 8%. All in, the title business generated adjusted pretax title earnings of $343 million compared with $198 million for the fourth quarter of 2023, and a 16.6% adjusted pretax title margin for the quarter, versus 11.8% in the prior year quarter. For the full year, the title business generated adjusted pretax title earnings of $1.2 billion compared with $964 million for the full year 2023, and a 15.1% adjusted pretax title margin versus 13.7% in the full year of 2023. Our title and corporate investment portfolio totaled $4.7 billion at December 31st. Interest and investment income in the title and corporate segments was $109 million, an increase of $6 million over the prior year quarter, and excluding income from F and G dividends to the holding company. Looking ahead, we expect to generate quarterly interest and investment income of $95 to $100 million in each quarter during 2025, assuming no further Fed funds rate cuts during the year. In addition, we expect over $100 million of annual dividend income from F and G to the corporate segment. This cash return reflects approximately 85% of F and G's common dividend given our majority ownership stake, and 100% of F and G's preferred dividend on the mandatory convertible preferred stock issued to FNF in January 2024. Our titled claims paid of $75 million were $11 million higher than our provision of $64 million for the fourth quarter. The carried reserve for title claim losses is approximately six. We continue to provide for title claims at 4.5% of total title premiums. Next, turning to financial highlights specific to the F and G segment. Since F and G hosted its earnings call earlier this morning and provided a thorough update, I will recap a few key highlights. F and G reported gross sales of $15.3 billion for the full year 2024, a 16% increase over the full year 2023, driven by record retail and robust institutional market sales. This included $3.5 billion of gross sales in the fourth quarter. F and G's net sales were $10.6 billion for the full year 2024, a 15% increase over the full year 2023. This included $2.5 billion of net sales in the fourth quarter. F and G has profitably grown its AUM before flow reinsurance to a record $65.3 billion. This includes retained assets under management of $53.8 billion at year-end. Adjusted net earnings for the F and G segment were $123 million in the fourth quarter. This includes alternative investment returns below our long-term expectations by $27 million or $0.10 per share and significant income items of $18 million or $0.07 per share. For the full year 2024, adjusted net earnings for the F and G segment were $475 million. This includes alternative investment returns below our long-term expectations by $123 million or $0.45 per share, and significant income items of $30 million or $0.11 per share. To bring it all together, for the fourth quarter, F and S consolidated adjusted net earnings excluding significant items in the F and G segment were $374 million or $1.37 per diluted share. For the full year, FNF's consolidated adjusted net earnings excluding significant items in the F and G segment were $1.4 billion or $4.97 per diluted share. F and G continues to provide stability to our earnings regardless of whether rates are rising or falling, and provides an important complement to our title business. The F and G segment contributed 38% of F and F's adjusted net earnings for the full year 2024, up from 30% for the full year 2023 and 23% in full year 2022. From a capital and liquidity perspective, we are maintaining a strong balance sheet and ensuring a balanced capital allocation strategy. Our consolidated debt outstanding was $4.3 billion at December 31st. In January of 2025, F and G issued $375 million of junior subordinated notes with net proceeds to be used for general corporate purposes including the repayment of debt. In early February of 2025, F and G fully redeemed its $300 million of outstanding senior notes due May 2025 at a redemption price of par plus accrued and unpaid interest up to the redemption date. Our consolidated debt to capitalization ratio remains in line with our long-term target range of 20% to 30%, and we expect that our balance sheet will naturally delever as shareholders' equity grows. Turning to share repurchases, we continue to look for signs that we are through the trough in the market with stable and sustained cash generation as indicators to resume share buybacks. We view repurchases as opportunistic and actively evaluate against where we are with cash, M&A opportunity, and the market backdrop. From a capital allocation perspective, we entered 2024 with $885 million in cash and short-term liquid investments at the holding company. During the year, the business generated cash to fund our $530 million annual common dividend, $75 million of holding company interest expense, $60 million of strategic title acquisition spend, and $250 million invested in the F and G preferred stock. All while keeping pace with wage inflation and funding the continued higher spend in risk and technology required in today's landscape. We ended 2024 with $786 million in cash and short-term liquid investments at the holding company, which is about 90% of the amount held at year-end 2023. Our ability to sustain this level of cash while returning capital to shareholders and investing in the business in such a low transaction environment is certainly noteworthy, and we feel differentiates us from cyclical businesses. This concludes our prepared remarks. And let me now turn the call back to our operator for questions.
Operator: Thank you. And I'll be conducting a question and answer session. Our first question today is coming from Mark DeVries from Deutsche Bank. Your line is now live.
Mark DeVries: Yeah. Thanks. You know, I was surprised to learn that your open orders in the hotel business are, you know, the growth is accelerating into January given kind of the backup in rates we saw in the fourth quarter. Can you give us a little more color on kind of, you know, what you're seeing there? Are you taking share or, you know, what's kind of driving strength in January?
Mike Nolan: Yeah. Mark, it's Mike. You know, it's hard to know on a, you know, monthly basis whether one's taking share or not. But, you know, we're certainly encouraged with purchase up 6% in the fourth quarter over last year. I think purchase was relatively flat in January even with rates up. And then the refi numbers were up 16% in January. That's very encouraging. And maybe again, as we said in the opening comments, just points to this sort of pent-up demand that's existing even with these persistently, you know, higher rates. But relative to share, probably gotta see how that plays out a little further to see how those numbers come out.
Mark DeVries: Okay. Got it. Then my second question is for Chris. On your earnings call for FGI earlier today, you know, when discussing your PRC business, I believe you alluded to a benefit from F and F's majority ownership. My question for you is whether there are any material benefits or synergies you realize from that ownership that are kind of critical, you know, to your growth plans or whether you believe FG would be well-positioned to continue as a standalone entity?
Chris Blunt: Yeah. I mean, we've run the business as a standalone business really from the get-go. So there's clearly been benefits. You know, hard capital support has probably been the biggest benefit that we've received. You know, cybersecurity, we're much further along than we would have been without FNF's ownership. But, no, we haven't really integrated the businesses in any way.
Mike Nolan: And I would add, Mark, it's Mike again, just the, you know, the ratings upgrade was critical to channel expansion. And when you look at where the business was in 2020 with IMO, maybe 80 plus percent of the sales. And now that's in the mid-forties. And bank and broker dealer, you know, went from low double digits to, you know, mid-forties or low forties. And sales tripled. I mean, that's all tied to the fact that a lot of that had to do with the ratings upgrade.
Chris Blunt: Hundred percent. Yeah. And the timing of those upgrades, I would agree. And that ratings upgrade probably at this point, where F and G stands, it would probably even if it were an independent company, probably maintain those same ratings. I mean, I guess, we don't know the answer to that, but it's likely that that would be the case.
Mark DeVries: Okay. And I think, Chris, I think you indicated earlier that a lot of the growth you're seeing now is more due to expanding kind of your penetration of existing channels rather than channel expansion. Is that an accurate kind of representation of the point you're trying to make earlier?
Chris Blunt: Yeah. It is. I mean, we're, you know, and we tend to think of these channels and assume that, you know, we've got 80% of the advisers in any channel selling F and G. So there's still just a lot of greenfield for us, particularly in the broker dealer channel where our penetration is the newest and probably the thinnest. But, yeah, we see opportunities to gain in every channel.
Mark DeVries: Okay. Got it. Thank you.
Lisa Foxworthy-Parker: Thanks.
Operator: Thank you. Next question is coming from John Campbell from Stephens. Your line is now live.
John Campbell: Hey, guys. Good morning. Congrats on a great quarter.
Mike Nolan: Thanks, John.
John Campbell: Hey. So really impressive results for the title business. I'm thinking you guys expecting this question, but and I know it's probably really tough to piece this out. But, Tony, what's your best guess on the impact of the data breach in the year-ago period? Any sense for kind of the degree of, you know, year-over-year title margin expansion on a like-for-like or normalized basis?
Tony Park: Yeah. It wasn't major. I think we talked about it a year ago. My recollection is it might have been 50 basis points on margin that we felt like we were impacted in Q4 of 2023, so call it, you know, 11.8 would have been, you know, 12.3. But is that, is that, that sounds about right. I didn't go back and look at that number, but I know at the time we felt it was pretty negligible, John. We really saw what we remember, we really only had two days when we really weren't closing transactions. And we felt like we picked a lot of that back up in December of last year. I probably had some revenue pushed to the first quarter maybe.
Mike Nolan: Yep. But really, that was why I think, you know, when you look at the fourth quarter, John, it was just a great, great quarter. And we had strong revenue and margin outperformance across all of our business lines. You know, direct, agency, commercial. Also had a great quarter from our sub-servicing business. They actually had a record year for pretax in 2024 as well. So it was just great to see the business kind of humming on all cylinders.
John Campbell: Yeah. Absolutely. And then, Chris, you know, during this morning's, after your earnings call, you talked to the kind of strategic decision to allocate capital to your higher returning products. You guys have obviously put up really impressive gross sales growth. But that comment seemed to be kind of implying or hinting that you could do more with more capital. So I'm hoping you could maybe shed some light on the constraints you guys have now, then maybe for the F and F team. Is there any appetite to infuse FTE with more capital or is it, are you doing it as self-sustaining now?
Chris Blunt: Yeah. So, I mean, look, we're a capital-intensive business, so we could always do more if we had additional equity capital. But we've got a lot of other sources, primarily the use of reinsurance. And our block is pretty large now and throws off a lot of capital every year. So yeah, it was more a comment of just how we think about that relative allocation of capital. But sure. Yeah. We could productively make use of more capital, and that's always the case in a business like ours.
Tony Park: John, this is Tony. Just on the FNF side of things, I guess we did make the $250 million investment back in January of 2024. The preferred. And I guess there's no knowing for sure whether F and F would be a capital contributor in the future to F and G. It might depend on the opportunities in front of us. I'm proud that we were able to maintain our cash position over the course of 2024. Even with that $250 million investment in F and G, we basically maintain the $800 million holdco cash and frankly, a pretty challenging market on the title side. I will say also that the board met yesterday and decided to resume the share buyback. So I would anticipate us being in the market on a daily basis when we're not blacked out. Probably modestly, I think the board feels that given that we were able to maintain that, you know, $800 million HoldCo cash in a tough market, and again, with that F and G investment, you know, that was solid. And so, yeah, I would say the message takeaway is, you know, we can generate strong cash flow even in a, you know, relatively tough market.
John Campbell: Yep. Good to hear. Thanks, guys.
Operator: Thank you. Our next question today is coming from Terry Ma from Barclays. Your line is now live.
Terry Ma: Hey, thank you. Good morning. Maybe just starting with commercial. You know, the results this quarter are pretty strong, and your comments were encouraging. But you also had some really strong second half growth this year, and it looks like it was driven a lot by national. So how sustainable is that based on just the pipeline you're seeing and maybe just talk about how confident you are that you can continue to grow off that $1.2 billion?
Mike Nolan: Yeah. Great question, Terry. And you're right. When we really starting in June, on an open order basis, you know, month over the prior year's month, we had very strong growth in our national orders, pretty much double-digit growth. Even looking at the last three quarters, I think it averaged about 12% Q2 over Q2, you know, you get a 3 over 4. So just sort of a really strong pipeline, I think, is getting built up on the national side. And, you know, as we talk to our clients and our business partners, people are pretty optimistic that 2025 will be just another strong year for commercial. And then the wildcard a little bit, which would be very additive, is if, you know, the office sector begins to contribute more to the overall commercial book. And I think we're all seeing headlines that point to the fact that that could be happening. One in particular I saw very recently was that someone reported that office demand in New York was getting back to pre-pandemic levels. And as those things happen, that will start to drive ultimately transactional activity, I think, in the office sector, and again, will just be an additive element to 2025 and beyond.
Terry Ma: Got it. That's helpful. Then maybe just to touch on FG, you spoke a little bit about the just complementary nature of the business relative to F and S title business, but maybe just refresh us your thoughts around just the option to spin as we approach the five-year anniversary. Thank you.
Tony Park: Yeah. Thanks, Terry. This is Tony. I'll comment. I mean, at this point, the board's been very clear that F and G has been a great contributor and complement to our title business. With 38% of our adjusted net earnings generated from the FG segment. And the direction from the board is clear that, you know, grow the AUM and grow the earnings. So that's really, you know, the commentary we have. To your point, the five-year anniversary of the acquisition comes up in early June. And so following that point, we would have the ability, assuming we still own at least 80% of F and G, to spin it to our shareholders tax-free. But again, that isn't the focus right now. The focus is clearly just to continue to grow F and G.
Terry Ma: Got it. Thank you.
Operator: Next question is coming from Bose George from KBW. Your line is now live.
Bose George: Hey, good morning. I wanted to ask about the margin. Obviously, very impressive margin in Q4 and for the full year. And I know you don't like to provide guidance on the margin, but just assuming market trends persist, what's a good way to think about margins in 2025 over 2024, just the puts and takes in there?
Mike Nolan: Yeah. Great question, Bose. And you're right. It is difficult sometimes to flush that out. But, you know, margins are always influenced by a number of factors. You've got the mix of direct and agency, the mix of commercial, how the non-title businesses that are in the title segment performed, specifically our loan care subservicing business and home warranty, both had, by the way, record pre-tax years in 2024. We're really excited to see that. But if the question is assuming that 2025 has more transactional volume, and other things being equal, we would expect to have a better margin in 2025 than 2024. We would expect to outperform prior cycles with better conditions. But, obviously, there's a range of outcomes as to what the actual volumes will be in 2025, and there's a lot of forecasts out there that are modestly better conditions in 2025. If you look at MBA and Fannie Mae, I think they're both forecasting an uptick in refi originations, maybe 20% or more, and maybe a 9% or 10% increase in purchase originations. But we just, as you know, we manage the business to the orders, not to the forecast. But we're well-positioned, really well-positioned to drive strong margins with more volume, and you saw that in 2021.
Bose George: Okay. Great. That's helpful. Thanks. And then just a related question. Can you just break give us the margin by segment?
Tony Park: Yeah, Bose. This is Tony. I've got a few numbers here comparing the 16.6% Q4 of 2024 versus the 11.8% in 2023. So our direct operations were a little better than 23% versus about 19.5% in the prior year quarter. Agency was about 7.5% versus about 6% in the prior year quarter. Our national commercial units were about 34% versus about 29% in the prior year quarter. Loan care, 23% up against around 16% in the prior year quarter, and then home warranty was pretty flat with the prior year quarter. So those are some of the units. Obviously, those numbers aren't burdened by our shared services, but also don't include any of our investment income. So that kind of recaps the segments, if you will.
Bose George: Okay. Great. Thanks, guys.
Mike Nolan: Thanks, Bose.
Operator: Our next question today is coming from Mark Hughes from Truist Securities. Your line is now live.
Mark Hughes: Yeah. Thank you. Any impact in Q1 from the wildfires just in terms of closing, or is that the minimum?
Mike Nolan: Yeah. Mark, it's Mike. It's really de minimis. Obviously, the fires, on a personal level, are horrific, but those areas, as you might think about, like Pacific Palisades, there's just not a lot of transactional volume there. And so it really is de minimis, I think, for us.
Mark Hughes: The NAR settlement, I think you've said you're pretty agnostic on that front. Have you seen any change in the kind of the real estate, the broker community, the referral pattern, just the way business is flowing as a result of the settlement?
Mike Nolan: You know, I can't say we've seen any significant changes. I think I've seen some notes that maybe commissions have modestly declined, you know, very modestly. Probably gonna take more time. We have seen some more interest in real estate brokers with our transaction management platform at SkySlope. They seem more interested in learning more about that, I think, from a view that it might help them better comply with all these changes. But other than that, it seems pretty business as usual.
Mark Hughes: Thank you.
Operator: Thank you. Next question is coming from Jeffrey Dunn from Dowling and Partners. Your line is now live.
Jeffrey Dunn: Thanks. Good morning.
Mike Nolan: Morning.
Jeffrey Dunn: Mike, I wanted to ask you about investment and efficiency in the business. If we think about the title segment as a, you know, front-end production and back-end, where have you been focused over the last couple of years with your investment and efficiency gains? And where is the next three years focused?
Mike Nolan: Yeah. Really good question, Jeff. Thank you. I point to a couple things. You know, in 2019, well, really, we made a decision beforehand. But in 2019, we really went to the cloud with all of our data storage. We were the first to do that. I'm not even sure if others have done it yet. And we thought that was very important to build efficiency and scalability and speed of, you know, handling volumes going up and down. It also is critical to digital and ultimately AI, I believe. So we did that in 2019. We also made a decision to get everybody in the company on one integrated operating platform, SoftPro. We've worked very hard over the last three, you know, three, four, five years to do that. And we've got over 90% of our operations on that platform, and we'll be close to 100 as we get through 2025. And then a lot of focus around how to get a large percentage of our title production. So I'm still kind of a lot of this is on the front end, Jeff, but on our title production, integrated with India, integrated with our proprietary automated title technologies, integrated with our title plans, our starter repository, we have over 90% of our volume that goes through essentially 20 production facilities that are all integrated as I just described. And I think that's been very helpful for us as we've dealt with volumes up and down, certainly, on the upside, really helped drive that outside margin performance in 2021. At the same time, you know, we've built out, I think, the industry's only digital transaction platform. And we've got it across the footprint of the company. We're seeing a lot of use of that on the part of customers. And I think the next environment is seeing that more impacting the closing side. And probably also focusing on AI, you know, we named the chief AI officer in 2024. Developed a working group. We've got a number of use cases. We've rolled a couple things out to all of our employees relative to AI, more from a personal productivity standpoint. But we're gonna continue to look at the front end and get more efficient there and really now see how we can make it a better user experience, better customer experience, better employee experience on the closing.
Jeffrey Dunn: Any way to think about what efficiency opportunity there is on the margin from the back end? You know, is it a 10% to 20% upside to normalize? Is there any way to qualify that?
Mike Nolan: Yeah. I think at this time, Jeff, I'd be reluctant to put a number to it because, you know, we probably just haven't, you know, we need a little bit more rigor on the work to come up with a number, but I definitely expect upside. I mean, you just think about if people are self-serving on a platform, we had a million people using the technology last year for InHare. You know, that's just reducing phone calls and emails, and you're gonna start to see some benefits. But there's probably more there as we get to a truer or higher use of a full digital transaction, meaning not just starting and tracking, but starting, tracking, signing, and closing. And I think that will develop over time. It just isn't quite there yet in the industry.
Jeffrey Dunn: Okay. Thanks, Mike.
Operator: Thank you. We've reached the end of our question and answer session. I'll turn the floor back over to Mike for any further or closing comments.
Mike Nolan: We are very pleased with the exceptional performance of 2024, with both businesses executing well in the current market. The title segment remains poised for a rebound in transactional levels, and we continue to invest in the business for the long term while delivering industry-leading margins. Likewise, F and G has many opportunities ahead to continue to drive asset growth and deliver on its Investor Day targets for margin expansion and accretive returns. Thanks for your time this morning. Appreciate your interest in FNF. And look forward to updating you on our first quarter earnings call.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.